Operator: Mr. Liszicasz, please go ahead, sir. 
George Liszicasz: I would like to apologize for the technical difficulties to everyone. We are sorry about that.
 Welcome to today's investor conference call hosted by NXT Energy Solutions. My name is George Liszicasz, President and CEO. And with me today is our management team, Bev Stewart, CFO; Sajid Sayeed, our Director of Global Business Development; and Todd Chuckry, our Director of Operations.
 The purpose of today's call is to briefly discuss the highlights of Monday's news release regarding our Q3 report to shareholders, which I hope you have had a chance to review, followed by an update of our ongoing business.
 This conference call, of course, contains forward-looking information. So we, therefore, caution with the standard disclaimer that such information is, by its nature, uncertain and often uncontrollable. And therefore, future results may vary from the estimates and expectations.
 As I just mentioned, I am joined here today on this call by our Director of Operations, Todd Chuckry. During the last call, we had suggestions -- we heard suggestions that the management team of NXT was light on oil and gas experience. Since we already share the investors' view and we're in the process of looking for a new addition to our management team, we are delighted to welcome Todd to our team. Todd comes to NXT having served as CEO of Spectraseis Inc., which is a microseismic service provider. And he was formerly the CEO of Request Seismic Surveys and BlueGrouse Seismic Solutions. As well as his operational experience, Todd has extensive know-how in the packaging and sale of seismic data, and we look forward to utilizing his knowledge and expertise in developing the data sales market in North and South America.
 I would like to ask Bev to discuss our Q3 financial results now. 
Beverly Stewart: Thank you, George, and welcome, everybody. On the SEDAR system in Canada and on EDGAR in the U.S., you can find our Q3 MD&A and the related interim financial statements for the 3- and 9-month periods ended September 30, 2016. All amounts today are discussed in Canadian dollars unless otherwise noted.
 There were no additional revenues earned in Q3. The year-to-date revenue relates to a $1.4 million SFD survey project that was completed to YPFB, the national oil company of Bolivia, earlier in the year. For Q3 2016, our operating results were total expenses of $2.1 million and a net loss after tax of approximately $2.14 million or $0.04 per share based on the 53.7 million shares currently outstanding. It should be noted that these numbers reflect noncash expenses of roughly $740,000, which includes amortization expense of $421,000 relating to the intellectual property asset which was acquired at the end of Q3 2015.
 Q3 results also reflected G&A costs of $1.1 million compared to $1.3 million in Q3 2015. And you may recall in the last investor call, we discussed the total G&A costs in Q2 of $1.8 million. So we're very pleased to report that Q3 shows significant reduction in G&A expenditure, and we anticipate that G&A costs will remain at these lower levels in Q4. There were also recurring costs of $140,000 related to the ownership and operation of our survey aircraft that were not in the Q3 results -- sorry, Q3 2015 results as the aircraft was acquired in December 2015. The aircraft is chartered to third parties when it is not required for our survey and R&D use.
 At the end of Q3, we have approximately $3.3 million in cash and short-term deposits. The net cash outflow during the quarter was $1.8 million, which included a payment to the Bolivian tax authorities of $421,000 in respect of Bolivian income tax. We are monitoring our cash reserves very closely and are confident that we have sufficient liquidity to sustain the business until the Sri Lanka contract is finalized.
 At the same time, we are continuing discussions with respect to other contracts in other jurisdictions as part of our broad-based strategy to set up a pipeline of opportunities that we will perform on continuously. The other contracts are expected to take longer to finalize, but we're very encouraged by the interests shown by NOCs despite the challenging period of commodity prices, as the NOCs take a longer-term view in respect to security of supply issues.
 And this leads us to our main discussion topic today, and George will continue with an update on the business. 
George Liszicasz: Thank you very much, Bev. Let us now continue with the business opportunities update. On our last conference call, we discussed our business development strategies regarding new markets and prospects. As you know, we have been working diligently to strengthen our pipeline of opportunities and have made excellent progress with several projects. It is important to note, however, that a number of these opportunities are subject to political and/or government processes that we cannot influence. And therefore, they are subject to changes and delays that are out of our control and unrelated to the effectiveness of our technology. The information that we will provide today to you is to the best of our knowledge, but it may be subject to change in the future.
 We are delighted to announce the Project SHINE proposal in early -- we were delighted to announce the Project SHINE proposal in early September. This project is intended to provide multi-client survey data of the Mannar Basin in Sri Lanka, and a key part of the project will be the use of SFD technology. The project will be prefunded, and NXT anticipates the final approvals from the Sri Lankan government will be received by the end of Q4. The value of the contract is expected to be USD 28.7 million, of which $21 million directly relates to SFD services -- survey services. This will be the largest project we have ever undertaken in our history. Final approval of the project is currently being considered by the Sri Lankan government, and the indications are that we should receive the contract by the end of December or earlier.
 Mexico. On our last call, we discussed -- on the last call, we advised you that we have been asked to present a project proposal to PEMEX and had also scheduled a meeting with CNH, the Mexican Hydrocarbons Commission. We are currently engaged with PEMEX in discussions about this project and the area of survey. We will make the results of these discussions available once we have final official response from PEMEX. We will continue to work with CNH who are responsible for managing licensing rounds in Mexico. Our recent presentation to them, the value of the SFD technology to future bid rounds were clearly demonstrated and very positive feedback was received. In fact, CNH requested NXT to provide a proposal on future bid rounds.
 Malaysia. As you know from previous communications, we consider Malaysia to be an excellent opportunity for NXT. We are currently awaiting a decision from the customer in Malaysia as to which blocks they wish to be surveyed by SFD method. But due to the current economic climate, our Malaysian partner -- or Malaysian customer has experienced a reduction in workforce, which has impacted the timing of our proposed project. We remain confident that these issues will be resolved and that an SFD survey will take place in the next 10 to -- 12 to 18 months.
 With respect to Ghana, again, our last call, we indicated that GNPC, the national oil and gas company, and the Petroleum Commission has recognized the value of our technology and confirmed their intention to use SFD. Due to political factors, the project in Ghana has been delayed, but we still expect progress to be made in the first half of 2017.
 Senegal, China and the Middle East. We continue to follow-up closely with other potential contracts. Each of these projects are significant in size, and the decision-making process are complex in nature. We are confident that we will convert a number of these projects into contracts, and we'll be providing periodic updates on these initiatives -- as these initiatives develop. All of these opportunities are the result of the extensive marketing trip that we undertook during Q2.
 Bolivia. We have been advised that the procedural delays in Bolivia relating to sale of data has now been resolved, and we anticipate the sale will go ahead in late November, early December. We expect the value of the sale to be approximately USD 800,000.
 YPFB Bolivia. There has been a great deal of activity in Bolivia recently to invest in the development of their hydrocarbon industry. In particular, YPFB recently announced their investment of $30 million regional 2D seismic program to define and confirm our existing SFD leads. This further validates the importance of SFD in the region. We are maintaining our in-country presence and believe that we are well positioned to take advantage of an active exploration program in 2017.
 Pakistan. NXT expects further development in Pakistan in the near future. We have already secured $1.5 million contract, and recent developments encourage us to believe that this contract could increase in value, and we don't mean by $1.
 In conclusion, we are pleased with the steady process -- progress, and we have made in recent months to strengthen the management team of NXT, develop new lines of revenue and expand the pipeline of opportunities for our core business of providing SFD surveys. We are now on track to deliver results on our strategy of focusing on contracts with NOCs and look forward to updating you with our progress in the coming months, hopefully, next month.
 Thank you all for your continued support and belief in NXT. I will now ask the operator to open up the line for us to take a few of your questions. Thank you. 
Operator: [Operator Instructions] We do have a first question. 
Peter Mork: This is Peter Mork. Can you hear me? 
George Liszicasz: Yes, we can, Peter. Thank you for calling in. 
Peter Mork: I want to obviously touch on contracts and kind of follow-up on some of the questions from last call, probably for Sajid. But just to start off, Todd, I've kind of gone over your resume and what -- we were able to chat real briefly. But I was -- I think it might be helpful, just kind of -- you've got a lot of experience, obviously, in the industry and something what, I think, shareholders are going to be really excited about. Could you give a little bit of background just in terms of how you came to find the company? Maybe were you aware of this? I mean, NXT has been around for a while. You've got a long history in the industry. Your impressions of it before, after? And then kind of what you're going to help bring to the table to move the company forward? 
Todd Chuckry: Thank you, Peter. I first became aware of NXT back in the late '90s. As we were growing Request, my CFO and myself were continually looking at opportunities that might further enhance the business that we are providing to the oil and gas industry at the time when we have Request. And I can't tell you for sure why we didn't pursue anything at that time, but that's when I first came in contact with them.
 I had kind of followed NXT over the years kind of from afar just because I've always found that technologies in the oil and gas sector, whether new or developing technologies, have always had a place. And I found what George and his team had done was extremely interesting, and I felt very useful for at the time, we were looking at more conventional space in the late '90s, early 2000s in North America and moving more into an unconventional platform, but the usefulness of the tool from a pure exploration perspective.
 So probably about 4 months ago, I was reacquainted with the company. I had an opportunity to sit down with George, Sajid and Bev and listened to some of the things that the company had done over the last couple of years and the evolution of where they were when I first came in contact with the organization and then where they are today and kind of the marketing that they've put in place and some of the things that they've done. And at the same time, I had an opportunity to meet the technical team, which I firmly believe is one of the best technical teams I've come across in a very long time. And I've met a number of technical groups and worked with PhDs in Geophysics at my last organization. And the group that we have here is highly committed to the success of the organization. And that's something that really compelled me as well is that, from that perspective, they would do just about anything to help people better understand their product. So from that perspective, that's where I felt that given an opportunity, I would like to become involved with NXT.
 One of the things I did find, being a new technology as technologies are, there's barriers to entry. When it comes to seismic, people have a tendency to believe that, that is the end-all to be-all tool because they've been dealing with seismic information since the late '50s with the induction of 2D data and then 3D and trying to bring new technologies into that space. Sometimes it's a bit more difficult than one would imagine. But I think NXT has done a very good job at marketing and educating the marketplace, not to suggest there is work that yet to be done, but from our -- my perspective, introducing this as a tool that is either pre- or post-seismic and allows efficiencies for oil and gas producers. I think it's a fantastic tool in light of today's commodity prices.
 Companies are learning to become more efficient and profitable at $45 to $50 oil. Let's forget the fact that it could eventually go to $60, but this is the world by which they live in today. So any way that they can find ways and means to reduce costs, for example, let's use Bolivia. If the program that George talked about, it's a 2D program consisting of about 200 kilometers -- less than 200 kilometers of 2D data for $30 million. That's an extensively expensive seismic program. And that program could have been considerably larger had they not used the SFD anomalies as kind of their kickoff point to design that program. So they've reduced the program that could have been $60 million down to $30 million. So where does the other $30 million go? It can go into land purchases. It can go into the drill bit. It can go into other areas of the productive cycle. And from my perspective, oil and gas companies or NOCs are, in this environment, looking for technology to help them reduce their finding and development costs. By doing so, then they are able to pass along the additional profits to their shareholders.
 So one thing I've learned over the course of 30 years in this business is when you're in a down cycle, technology is what drives oil and gas producers. And so from that perspective, that's where being involved in this organization, what they bring to the table, I think is highly important, not just in North America but on a global scale.
 And what do I bring? I guess, my 30 years of experience in the oil and gas industry at all levels, from operations to helping Sajid in the sales and marketing group and the design of multi-client projects, providing platforms by which we can actually take a significant inventory of NXT recorded data, which is somewhere in the neighborhood of about 500,000 linear kilometers and bringing that into the forefront, whereby it can be licensed very similar to seismic data. So it's a hidden asset. And I know the company has looked at that in the past, but these are some of the initiatives that I've discussed with Sajid and we hope to roll out as well.
 And then on the other side of it, bringing to the table the experience with contracts. I've done business with NOCs all over the world, like we -- my previous company, PEMEX was one of our larger clients. We've done work in Colombia. We've done work in Brazil. So it's -- I think what I've learned from that side, whether it's the seismic or the microseismic side, I think, has relevance in what NXT is offering and then at the end of it, helping design the contracts that are beneficial to the company and also beneficial to the client. I hope that answers your question. 
Peter Mork: No, that definitely does. That definitely does. I kind of -- it segues into another question just kind of point to bring up. George mentioned a couple of times on the call, just kind of the uncertainties around just timing. Obviously, dealing with an NOC, there's factors -- more factors that are out of your control that might slow down some of these  contracts. In terms of -- maybe, a, have you had a chance -- I know it's early on in your tenure here, but have you had a chance to sit in on any of these sales meetings? And just kind of that NOC government mix versus a private company, where we are? Are we strictly going to -- your opinion, and then maybe open it up to the group as well, just on that front. 
Todd Chuckry: I've spent a great deal of time talking with George and Sajid. And when you're dealing with an NOC versus, say, a Shell or a privately held oil and gas companies, their objectives or interests are usually 2 different things. So with the NOCs, of course, obviously, as you've mentioned, you've already mentioned the fact that it takes a considerable amount of time. And we found in the past, for example, a company like PEMEX, PEMEX was a company that would award us a contract. But it was difficult to actually schedule that contract because in my previous life at Spectraseis, we get awarded a job in January, expecting to do it in Q1. And lo and behold, Q4 would come along, and we'd start that project. So albeit you can be awarded these types of opportunities at different levels, it operates in their time line. So it's something you have to get used to because I'm like everybody else. I'm a relatively impatient person. And once I understand that we have something, I want to be able to do it. But I think that especially with large NOCs, you have to work inside their time line. I think the company is doing, from my observation based on my experience, I think is doing a fantastic job at managing that process.
 And just using the Sri Lankan deal as an example, the relationships that the company has and their ability to interact on a regular basis, in my opinion, has somewhat fast-tracked the process that for anybody else would have taken 2 to 3 years to be in the place that this company is in, in less than 12 months. So I think from that perspective, having a real grasp and understanding of the market that they're in, henceforth as a result of their Q2 marketing campaign and the people that they've met along the way and developed these strategic relationships with, I think, are going to be of great benefit to the organization moving forward.
 Now when it comes to dealing with oil companies, whether small, medium, large, that's an entirely different animal because they have -- their interests are different, and they're able to fast-track a process whereby if we hit them in the right part of the cycle, they can actually allocate the services we provide in their exploration budgets. And from that perspective, we -- when they want to do something and say, Q1, we know we're doing it in Q1 or Q3 or whatever that happens to be.
 So by and large, I think the sales and marketing group here is doing a very good job in understanding the environment by which they're working in, understanding the complexities and dealing with those in a manner that I think will be very beneficial to the organization. 
George Liszicasz: On that note, thank you very much. I would like to ask Sajid just to expand on this. 
Peter Mork: And just if I could jump in, one little thing, just because I think it's a good segue as well there. On the -- Sajid, on the last call, we talked about the pipeline that you guys have up on the website with the contracts and just how they're -- it sounds like Sri Lanka was a Phase 2 in September. That clearly, sounds like -- I mean, it sounds like that's one of these opportunities along with Bolivia that's a real near-term revenue potential. And just kind of tying that into this question about NOCs versus private companies and whatnot, you guys are pursuing somewhat of a hybrid strategy. Is that the best way to look at it where you're accessing -- you have a contract in essence with a private entity, and that is accessing essentially the national oil companies, these large basins, that's why this contract is close to $30 million, and there's a lot of land. Is that the best way for investors to think about it? 
George Liszicasz: Sajid, please. 
Sajid Sayeed: Yes. We have been taking a hard look at our strategy, and we strongly believe as a company, as an asset management team over here that although we have a very well thought out process and a strategy developed, we also have to be nimble, and we have to be a bit accommodative and be innovative in how we are going to approach the market. And hence, we took a lot of different factors into consideration. And we are not just banking on NOCs per se. We have been very active in pursuing a lot of different companies, including some majors and supermajors like Exxon, Shell, Chevron and Statoil. And we have already met them, and we had a few meetings with them already. And we are scheduled to meet them again in Houston with the idea of discussing certain projects that they have on the table right now and how SFD is going to be applied to those projects. They have been so far very welcoming, and so that's encouraging for us.
 And at the same time, other than just the national oil companies, we have been speaking to countries where they have been having a serious need to develop their resources in order to sustain their own economic situations. And we just came back from a recent trip with -- in Russia, and the reception over there for a technology like this was beyond expectation. And we were actually blown away, and we felt that, that's a market that we have to focus on going forward as well. And Russia is the largest producer. They're heavily banking on their oil and gas, and they're also having a need to develop their other resources. They see the potential with this technology far beyond just oil and gas alone. And there are a lot of factors in Russia where they need us. So we have been discussing with the different countries on a national level as well. So -- and that's exactly what is happening.
 Sri Lanka is an excellent case that we can talk about once we have the contract in more detail, where the need for this technology exceeds the current situation that they have in terms of other technologies that they have access to. They have vetted out a lot of different technologies and what they can apply in the current basin in Sri Lanka, and they see that SFD is the only technology out there that can bring a totally unique value proposition and a critical insight into their sedimentary basin that will truly benefit them in attracting IOCs to come and participate in their basin. So that's the strategy that -- I mean, these are the responses that we're getting from clients that's making us sharpen our strategy and focus on different domains as well.
 So to answer your question, yes, we are -- we have more access, and we have been working with different agents in different parts of the world. We've been using our own contacts that we have. And Todd brings in a lot of insight as well and a lot of a good Rolodex of contacts that he has been helping us with. And all this put together, I think we are in a very strong position in a market that's pretty much stagnant or worrisome. We are really looking forward to using this to our advantage in a very strategic manner. 
George Liszicasz: Thank you. I would like to thank Todd and Sajid for their comments. And I would like to add that unlike us who are dependent on the oil and gas companies to release drilling results, ExxonMobil can pick up the phone and find out what's happening in 2 minutes. And as a result of that, we got this attention from them and Shell and Statoil and some of the other companies that Sajid was mentioning. And we need to understand that Sajid has brought a new approach to our marketing and sales strategies and -- which involves the entire country rather than just the national company.
 And we believe that once -- so the reason why we went -- as you recall, we went in Q2 to see all these companies in countries was in order to make sure -- to ensure that we will have a continuation of these projects. And we believe that once the Sri Lanka deal is now going to be finalized and starting, in every 2, 3 months we are going to unroll a new deal, a new contract opportunity. That's what we hope for. Of course, as Todd was attesting, these contracts are also dependent on the internal processes of the country. 
Operator: Our next question is from [ Adam Heber ]. 
Unknown Analyst: George, thank you for inviting us to the conference call, and Todd, welcome to the management team. It's a very interesting technology. My question deals with -- dealing with the NOCs. Normally, most of them have a competitive procurement process, and I'm just wondering is that, what are the competition that you have? Are there similar or other technologies that compete with you in such a competitive process? 
Sajid Sayeed: Yes, you're right about that. This is Sajid here. NOCs usually have a very detailed process of how they read out the technology and the put out of bid process. And they look at a different -- they have a very stringent process which is transparent and competitive as well as other technologies. But the situation that we encounter is because the value that we bring in and the kind of information that we provide, there's actually no competition out there other than the fact there are other airborne technologies out there. But the value that we bring in, we are the only technology out there that can provide a trap integrity.
 All of the technologies gives a better understanding of the subsurface, the geology, the structures. It gives them -- including controls of electromagnet will give them a very good idea of the -- how the structure is and how the fluid entrapment is. But we are the only technology that's out there that can give you a simultaneous existence of a trap reservoir and [ sea ]. So in that manner, because of that feature, we really don't have a competition out there. They do put out, like in Pakistan, put out a tender, a formal tender and looking for a specific somebody who can give us a trap integrity, and there's nobody out there who can compete with us.
 So in Sri Lanka, it was a government decision that they took because they saw that this technology has a very unique proposition. And they saw early on that there is nothing that can compete. They have already applied 3D seismic and 2D seismic. And there's no point in going with a gravimetry to understand the same dynamic again to shoot new 3D seismic. So they wanted something unique.
 So -- but because of the nature of the technology, we are able to bypass a lot of other different processes. With all the transparency being in place, still, they -- this is a complete transparent process where the national oil company, the Petroleum Commission, the Senate, the ministers, everybody has to read out this technology in open and then see the value and then award the contract.
 So thereby, to answer your question, yes, there is competition per se. But really in terms of what we deliver, there's no one yet who can deliver what we're doing. So we do have kind of an advantage in that situation. 
George Liszicasz: Adam, I just would like to add that just a couple of days ago, we had a conference call starting at 9:00 p.m. ending at 1:30 a.m. with Pakistan with 4 companies being on the other end of the line. And we did a full presentation on the technology, on the application of the technology and so on. So it is an ongoing process, and that is -- those are the companies internally, the geologist, geophysicist and the management, particularly the higher management, because we position this tool so that everybody understands that as an executive decision-making tool because it allows the executives to assess where they would want to deploy their capital, their efforts, the G&G work and so on and so forth. So they can decide that, we want to only focus on 1 block in Mexico offshore, which block is going to be the one? So the SFD can help them to answer that question. Or which part of the block they want to relinquish, and so on and so forth. So the procurement department is influenced -- the decision on how the procurement department proceeds and what technologies they are going to secure depends largely on the management and the G&G team, which is the geology and the geophysical team, and we work with them very, very closely. 
Sajid Sayeed: I just want to add one more thing for the benefit of everyone on the call to understand how our value prop is evolving and how it is growing. A recent meeting with CNH in Mexico. They have asked us to come and give them a proposal on their bid rounds. The reason being every technology that's out there, especially seismic and 3D seismic and in certain cases, 4D seismic, gives you -- and then -- and many layers of these data are available in the Gulf of Mexico. But with all the data, when we speak to the Shells and the Statoils of the world, they are scared and they're lost in this ocean of data, and they do not know which layer to concentrate on to pick out their leads.
 What we are recommending and what we are able to provide for these kind of situations of this kind of government is a multiclient lead recommendation package. On a -- basically, we are giving a multiclient lead recommendation package which helps these big companies to focus their G&G efforts to a narrower area and increase their success rates. And this is a very unique situation. This is going to change a lot of things in the exploration process for every country as we go in there. But this has never been given. A prospect-level lead hasn't been provided ever before. And it's the first time there's a technology that's able to give something called a prospect-level lead where these companies can focus their G&G efforts and increase their success rate. So hence, the value prop has totally changed in terms of how the market is looking at us, and we are able to very successfully market that value because everybody sees it very clearly, so hence, the advantage. 
Unknown Analyst: Unless somebody else wants to jump in, I just have a very quick question regarding Sri Lanka. Just want to congratulate you on such a success. $28 million is a sizable success, and hopefully, it will close this month or next month, as you mentioned. Does this like -- this amounts, like does it cover the whole island? Or how many -- like I'm just curious, like how much of the island does $28 million cover using your technology? 
Sajid Sayeed: It's not the island. We are -- this is an offshore project. The island is pretty tiny. And there are 2 basins that Sri Lanka has which are active basins. One is called the Cauvery Basin, which is in the Northeast of the country. And this one is in the west side of the country called the Mannar Basin. Mannar Basin is the basin that we are concentrating on with the project that's designed. Mannar Basin had one discovery in 2014, where Cairn did -- built a prospect and left behind about 74 million barrels because the development cost was not feasible for the company. But there can be other companies who can come in and take that, who can afford to work with the developmental cost over there. So it's kind of a proven basin, but they want more, prove that basin because it's a difficult structure, and they want more international oil companies to come and build more prospects to really revive that basin. And in order to do that, the biggest problem that they have is the lack of new data or something that's substantial that can change the dynamic. So we are focusing on the Mannar Basin, which is the western part of the offshore Sri Lanka. 
George Liszicasz: And it will allow us to use the existing seismic data once we finish the project to integrate and package it so that Sri Lanka can sell it as a multiclient data package. 
Operator: The next question is from [ Richard Lang ]. 
George Liszicasz: Richard? Hello? 
Operator: Hearing no response, we'll move on to the next question. Our next question is from Stan Trilling. 
Stan Trilling: First of all, I want to congratulate the company on putting in place what looks like a real company. 
George Liszicasz: And how many shares do you have? 
Stan Trilling: Well, my wife tells me, too much, and my gut says, not enough. 
George Liszicasz: [indiscernible] for me. 
Stan Trilling: So you -- which is a perfect segue into what I'm going to ask you. In the past, I talked about this being the longest pregnancy I've ever seen, and I was looking -- I'm going to have to have septuplets. But after talking to the Head of Obstetrics at UCLA, he says better change your expectations, okay, so -- because septuplets don't happen that often.
 So I'm asking -- the question I need to ask you is, how long will it be before analysts can have data so they can model what the value of this company really should be? I'm talking, when can we see more consistent revenues? When can we see more consistent backlogs? So -- and I know that it is a -- it's a tough question to answer, but could you give me some idea of some sort of time line? And what is blocking you from getting there? 
Sajid Sayeed: It's a great question, Stan. Sajid here again. And trust me when I tell you that this is the same question that we, ourselves, discuss on a daily basis, and we are working very hard towards evening out that. And although we are talking about Sri Lanka, and there are a lot of other prospects on the plate, we are -- we have been working diligently with a lot of different prospective clients. And there are a number of projects that could come in the near future. I would say in the next 12 to 18 months, within that period, you would definitely see the lumpy revenue problem that everybody has been talking about to even out. It's gone. George made this promise in the last AGM that he's working very hard, and this -- and he promised that this lumpy revenue situation will go. And we, as a company, and the management team over here, have been working very hard to achieve that goal. 
 And we -- there are other a lot of projects, as I said, other than the major ones that we're talking about like Sri Lanka. We are in discussions at different levels with different clients. And these could come out in the next few weeks, months as we go along. And you'll be able to achieve your goal to have a very clear understanding of where this company is going. You'll see the revenue stream even out and -- on a regular periodic level, and things would be much more better, and we are working towards that.
 I'll let -- and George and Todd would also like to chime in on this subject. I'll pass it on to them. 
George Liszicasz: I'll just say one sentence, and then I'll let Todd speak to the other part of the question. Just want to remind the -- our investors that our goal is not to remain "a service provider only." We know that the money is in the ground. And as a result of that, some of these new contracts that we are considering will include royalty bonus, participation, carried interest, whichever form we can get the revenue stream established. So I just would like you to remind -- just would like to remind you of that.
 Todd, please go ahead. 
Todd Chuckry: Yes. Just one quick thing I'd like to add that I've observed, Stan, since I've arrived is that the financial department and the company have made a conscious effort over the last many months to meet with local investment houses and kind of a reintroduction of the company coming out of the announcement of the Sri Lanka contract. And the primary goal behind that is, to your point, is to start to help them better understand the company and the offering, help them better understand the revenue stream and what has historically taken place from the lumpiness aspect of it and what the company is doing to, as Sajid and George have pointed out, in the future, try to eliminate that through other sources of revenue beyond the fee-for-service business, it is the foundation of NXT.
 So that is an ongoing effort so that we can, as a company, get local groups, whether that's Acumen, whether it's Canaccord, Peters & Co., [indiscernible], whoever that happens to be, to now start to take an interest. And I think once the Sri Lankan contract is signed, I think we have now laid the foundation to revisit them and start to look to them to start picking up research coverage. 
 In my past life, it sometimes is difficult, and it takes something significant for these people to start paying attention. But I think with the things that the company has done and the interest level that has been generated in the marketplace over the last many months, I would like to think that in the next 6 to 12 months, the objective is to get 1 or 2 companies to start picking up coverage. But to this point, it's just reeducating them on the company, where we've come in the last 2 years and laying that foundation for future visits. 
Stan Trilling: Well, obviously, the first thing would be some contracts. That would be nice. Okay. But I'm talking about the backlog building, the -- what is -- besides executing on the contracts, what else is hurdles for you guys for analysts to look at your company? 
Todd Chuckry: I think from a public market perspective, I think analysts -- it really comes down to -- and I've kind of -- I've gone through this numerous times is taking the time to continually visit different investment houses regardless of who they are and continually try to help them understand the company, its revenue stream, its cash flow stream, these types of things. And in most cases, a lot of these companies have no issue picking up coverage on you if you do a financing with them all. We were not in the process of doing a financing. So we need to develop a relationship with 1 or 2 of these organizations as it relates to, as you pointed out, the pipeline and some of the other opportunities that we're looking at for growth in the organization to pique their interest to pick up coverage.
 And like I said, I would like to think in the very near term, we will be able to develop a relationship with 1 or 2 organizations that will start to look at picking up initial coverage. But right now, a lot of these companies also look at market cap as a determining factor in beginning coverage. Some companies -- some houses don't look at picking up coverage for a company that market cap is under $100 million. Currently, NXT sits in around the $77 million range. So it's a function of kind of getting them to break out of their tradition or the cycle that they've developed for themselves and get them to start looking at us from an at least initial-coverage basis. 
Operator: And there are no further questions registered at this time. Please go ahead. 
George Liszicasz: Thank you very much then, everybody, for participating in our investors conference call. And hopefully, very soon, we are going to be updating you on some of the excellent results that we produce. Thank you very much. 
Operator: Thank you. The conference has now ended. Please disconnect your line at this time, and we thank you for your participation.